Operator: Thank you for standing by. My name is Sydney, and I will be your conference operator today. At this time, I would like to welcome everyone to the DuPont Second Quarter 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Chris Mecray, you may now begin your conference.
Chris Mecray: Good morning. And thank you for joining us for DuPont's second quarter 2023 financial results conference call. Joining me today are Ed Breen, Chief Executive Officer; and Lori Koch, Chief Financial Officer. We have prepared slides to supplement our remarks, which are posted on DuPont's website under the Investor Relations tab and through the webcast link. Please read the forward-looking statement disclaimer contained in the slides. During this call, we will make forward-looking statements regarding our expectations or predictions about the future. Because these statements are based on current assumptions and factors that involve risks and uncertainties, our actual performance and results may differ materially from our forward-looking statements. Our Form 10-K, as updated by our current and periodic reports, includes detailed discussion of principal risks and uncertainties, which may cause such differences. Unless otherwise specified, all historical financial measures presented today are on a continuing operations basis and exclude significant items. We will also refer to other non-GAAP measures. A reconciliation to the most directly comparable GAAP financial measure is included in our press release and presentation materials that have been posted to DuPont's Investor Relations website. I'll now turn the call over to Ed.
Ed Breen: Good morning. And thank you for joining our second quarter 2023 financial review. This morning, we announced quarterly results with revenue and operating EBITDA better than our previously communicated guidance. This performance reflects our team's ongoing strong execution, while facing continued volume pressure and consumer-driven end markets, mainly electronics. In the second quarter, organic revenue declined 4% versus the year ago period despite mid-teens organic declines from the Interconnect Solutions and Semiconductor lines of business within E&I. We continue to see broad demand strength in industrial end markets, including water, automotive, aerospace, as well as healthcare, along with continued carryover benefit of pricing actions taken last year to offset inflationary pressure. Notably, operating EBITDA, operating EBITDA margin and adjusted EPS were all up sequentially from first quarter. After nearly a year long downturn, we also saw a sequential sales lift in Interconnect Solutions of 7%. We also continue to be proactive in taking additional actions within our control to minimize the impact of volume declines given near-term slowdown in select end markets, while also focusing on optimizing cash generation. Turning to Slide 4. We continue to advance a number of strategic priorities for accretive and value-added capital deployment. Yesterday, we announced completion of the Spectrum acquisition, a leader in critical specialty devices for healthcare end markets. This acquisition fully aligns with our strategic objectives of increasing topline growth through customer-driven innovation and expanding our Industrial Technologies growth pillar, while adding to our current offerings in the high-growth healthcare market. Spectrum is being integrated into our Industrial Solutions line of business where it fits nicely with our existing Liveo franchise with annual sales of about $500 million, Spectrum together with Liveo and our Tyvek Healthcare Packaging business increases our total revenue in healthcare markets to about 10% of our portfolio with expected growth rates above the company average. Spectrum's year-to-date performance has been solid, and we are pleased that operating results are in line with our deal model estimates, which include an estimated operating EBITDA margin of approximately 22%. We are excited by Spectrum's complementary fit and specifically our ability to leverage incremental growth opportunities, including synergies from cross-selling and the complementary accounts new and faster product development and deeper design and co-development partnerships with OEMs. Further on M&A, we continue to make progress with our Delrin business divestiture and our expectation of closing this planned transaction around year-end 2023 remains unchanged. There has been good interest in the asset to date. Regarding share repurchases, we expect we will complete the $3.25 billion accelerated share repurchase transaction launched last November within a month. We also intend to complete our remaining authorization through a new $2 billion ASR to be executed shortly thereafter. Regarding the water district settlement that was announced in June jointly with Chemours and Corteva, this settlement comprehensively covers PFAS-related claims of public water systems starting the vast majority of the US population. Our portion of the settlement is about $400 million, and we expect final approval about six months following preliminary approval, which we expect to receive shortly. Regarding broader capital allocation goals, yesterday's closing of the Spectrum deal and the new $2 billion ASR essentially completes the deployment of excess cash remaining from the M&M divestiture last November. Our current capitalization remains very sound. And as a reminder, we have no significant debt maturities until November 2025. We are comfortable with a net leverage point around 2x as an equilibrium target going forward. Before I turn it over to Lori to review our financial performance, let me add that we remain excited about the visible growth drivers enabled by our technical innovation teams and application engineers who are squarely focused on helping customers solve their most complex challenges. To name just a few, strong growth is expected in the semiconductor industry with the ongoing global investment in new fabs. Overall growth of the semiconductor industry is anticipated to be high single-digits over the coming five-year period. We have the leading materials that enable the next generation of advanced chip manufacturing and packaging, which includes significant technology and support from the emerging generative AI revolution. Within water, we continue to drive growth in desalination and which order markets and then helping customers achieve their sustainability goals. Finally, our auto adhesives business is well positioned to continue to capture growth with its product offerings and electric vehicles. With that, I'll turn it over to Lori.
Lori Koch: Thanks, Ed, and good morning. Our focus remains on operational excellence and strong execution, and we are pleased to have delivered financial results ahead of expectations despite volume pressure in some of our most profitable lines of business in electronics. Turning to our financial highlights on Slide 5. Second quarter net sales of $3.1 billion decreased 7% as reported and 4% on an organic basis versus the year ago period. Currency results in a 1% headwind from dollar strength against key currencies most notably the won and yen, and we also saw a 2% headwind related to portfolio changes. Breaking down the 4% organic sales decline, a 6% volume decline was partially offset by a 2% pricing gain reflecting continued carryover benefit of actions taken last year to offset broad-based inflation. Volume decline primarily reflects continued demand weakness in consumer electronics coupled with inventory destocking across the channel and some softness, including destocking in North American construction related markets. Lower volume in these consumer turbine end markets was partially mitigated by continued strength in water, automotive, aerospace and healthcare markets. Volume within electronics and construction end markets during the quarter was down 15 the year ago period, while our remaining industrial-based businesses were up about 4%. From a regional perspective, Europe sales in the quarter were up 4% on an organic basis, while North America and Asia Pacific were down 3% and 8%, respectively versus the year ago period. China sales were down 14% on an organic basis, driven mainly by the electronics demand weakness, but increased sequentially versus the first quarter. Second quarter operating EBITDA of $738 million decreased 11% versus the year ago period, driven by lower volumes and the impact of reduced production rates in electronics as we align inventory with demand. Operating EBITDA margin during the quarter of 23.9% was down 110 basis points versus the year ago period, driven by volume pressure, reduced production rates and mix headwinds in the high margin steady business. On a sequential basis, operating EBITDA and operating EBITDA margins were up from the first quarter. Decremental margins for the quarter was 40%, excluding the impact of absorption headwinds related to reduced production rates within electronics, decremental margin was below 20%, enabled by aggressive actions taken year-to-date to reduce discretionary spend. Adjusted EPS in the quarter of $0.85 per share was down 3% versus last year, which I will detail shortly. Looking at cash performance. I would first like to highlight that we have made a reporting change effective with today's second quarter results and are now providing cash flow disclosure separated between continuing and discontinued operations. This change is being made to improve visibility into cash flow generation and cash flow conversion of the ongoing businesses. On a continuing operations basis, cash flow from operations during the quarter of $400 million less CapEx of $123 million resulted in adjusted free cash flow of $277 million and associated conversion of 73%. This reflects significant improvement versus last year on a comparable basis, driven by lower inventory. Adjusted free cash flow included a benefit of about $80 million in reduced inventory and a headwind of about $200 million related to interest payments. Optimizing cash flow continues to be a top priority for us. On adjusted free cash flow and conversion improved sequentially, we still have work to do to get to our target levels and expect further improvement in working capital metrics by year-end. Turning to Slide 6. Adjusted EPS for the quarter of $0.85 decreased 3% compared to $0.88 in the in the year ago period. Lower segment results more than offset below the line benefits, including a $0.19 benefit related to lower net interest expense and a lower share count. A higher tax rate and exchange loss during the quarter resulted in adjusted EPS headwind of $0.08 per share. Our tax rate for the quarter was 23.7%, up from 22.6% in the year-ago period, driven primarily by geographic mix of earnings. Turning to segment results, beginning with E&I on Slide 7. E&I second quarter net sales of $1.3 billion decreased 14% and organic sales declined 12% due to lower volume, along with currency headwinds and an unfavorable portfolio impact of 1% each. At the line of business level, volume for Semiconductor Technologies decreased 19%, while Interconnect Solutions volume decreased 15% versus the year ago period. The decline in Semi Tech resulted from a continuation of lower semiconductor fab utilization rate due to weak end market demand as well as inventory de-stocking across the channel. Chip fab utilization rates in the second quarter averaged in the low 70s on a percentage basis. The decline in Interconnect was driven by continued weak smartphones, PC and tablet demand along with channel inventory destocking. Our PCB customers in China offerings in the second quarter with utilization rates slightly improved from the mid-40s during the first quarter, which was a cycle low. The PCB market has been in a slowdown for a year now and we are beginning to see signs of improvement within our Interconnect business, illustrated by first and second quarter sequential growth of about 7% and with further expected sequential growth in the third quarter. Sales for Industrial Solutions were flat on an organic basis as pricing and ongoing strength in broad-based industrial markets were offset by lower demand in largely consumer-driven areas, such as advanced screening applications and those tied to electronics markets, including OLED display. Operating EBITDA for E&I of $349 million was down versus the year ago period primarily due to volume declines and lower operating rates to better align inventory with demand, partially offset by reduced discretionary spend. Turning to Slide 8. W&P's second quarter net sales of $1.5 billion were flat versus last year as organic sales growth of 1% was offset by a 1% currency headwinds. Organic growth of 1% reflects a 5% increase in price resulting from the carryover impact of pricing actions taken last year, mostly offset by a 4% decrease in segment volumes due to declines in shelf care solutions. At the line of business level, organic sales growth was led by Water Solutions, which was up mid-teens on continued demand growth for water filtration led by reverse osmosis and ion exchange resins, along with benefits from carryover pricing. IT Solutions sales were up mid-single digits on an organic basis driven by carryover pricing and volume strength in Kevlar and Nomex with an aerospace and automotive market, especially for EVs, coupled with Tyvek strength in health care. Shelter Solutions were down 12% on an organic basis, driven by demand softness in construction markets as well as de-stocking, although we do expect a reduced impact from de-stocking in the second half. Operating EBITDA for W&P during the quarter were $368 million, up 6% or operating EBITDA margin of 24.6%, increased 140 basis points versus the year ago period. The improvement resulted primarily from net pricing gains and disciplined cost control, which more than offset volume declines. Turning to Slide 9, I will close with a few comments on our outlook and guidance for the third quarter and full year 2023. Regarding the demand environment, we continue to expect fairly steady demand in most of our industrial end-markets within E&I and W&P although, we expect sales moderation in our Water business due to slower demand in China. Within Electronics, we saw stabilization and some early lift in our Interconnect Solutions business. The 7% sequential improvement in sales during the second quarter, and we expect mid-single-digit sequential growth to follow, in the third quarter. We believe, challenging markets likely bottom during the second quarter, and we assume net-net sales in the second half will improve slightly on a sequential basis. Given ongoing consumer electronics demand headwinds, notably in China, we have tempered the rate of second half growth to prior assumptions. We are adjusting our full year 2023 guidance to account for the slower cadence of recovery in electronics, including our actions to continue to reduce production to align inventory with demand. In addition, our third quarter and full year guidance now includes the estimated contribution from Spectrum beginning August 1. For the full year, we now expect net sales to be between $12.45 billion and $12.55 billion, operating EBITDA to be between $2.975 billion and $3.025 billion and adjusted EPS to be between $3.40 and $3.50 per share. For the third quarter 2023, we expect revenue of approximately $3.15 billion, operating EBITDA of approximately $755 million and adjusted EPS of approximately $0.84 per share. With that, we are pleased to take your questions, and let me turn it back to the operator to open the
Operator: [Operator Instructions] Your first question comes from the line of John McNulty from BMO Capital Markets. Your line is open.
Bhavesh Lodaya: Hi. Good morning. This is Bhavesh Lodaya for John. Maybe on the Water business, the Water business tends to be a bit less cyclical compared to your other businesses. Can you add some color on what is driving the softness in China? What changed there since maybe last quarter? And what kind of recovery do you expect maybe over the next couple of quarters?
Ed Breen: Yeah. We think the next couple of quarters or just a little bit later will be closed in China, and it's really slowness in the industrial economy in China right now, which obviously should rebound here at some point, but we're expecting that to be a little softer in the second half of the year that, by the way, that's growth that we've had in that business is double-digit growth. So we're just saying it's going to moderate some still growth, but just slower growth in the second half of the year. But as that business has done quarter in, quarter out. It grows at a pretty nice clip, and I expect this China to improve some. That growth rate will pick up also. Remember, 70% of that business is a renewable business that's steady. So I think a couple of quarters maybe a little later in China, is what we're seeing.
Bhavesh Lodaya: Got it. And then in Electronics great to see the inflection coming in Interconnect Solutions, we have also seen some positive MSI data points. What are you hearing in semis technologies? Like, when do you expect an inflection there? And maybe any color on your order books for electronics that you're seeing this quarter so far?
Ed Breen: Yeah. So just probably just back to the ICS one, that started to decline and destocking started about the middle of 2022. So it's almost been kind of 10 months that in a downturn in the first quarter, it was really one at the bottomed. And then we did see 7% sequential pickup, and we're expecting mid-single-digit pickup by the forecast we had for the third quarter. So obviously, that's starting to come nicely off the bottom. The semi 1 is the one we tempered a little more in the second half. We look like we hit the bottom in the second quarter. We're not gauging much upturn in the third quarter. Instead, we're assuming we have another quarter kind of near the bottom are just very slightly up from that. And then we think somewhere the inflection point is more in the fourth quarter, but it's hard to tell what month you actually see it. So we did pick it up a little bit in the forecast in the fourth quarter, but not significantly. So that's the thing we kind of tapped down when we gave you the guidance here today. But I think we've seen the bottom in semi, and we're seeing the lift begin in ICS now. Remember, ICS is still negative. As a way to come back still, but it was down over 20%, and we're starting to write it back. Those will still be negative in the third and fourth quarter on a year-over-year compare.
Bhavesh Lodaya: Appreciate the time. Thank you.
Ed Breen: Thank you.
Operator: Your next question comes from Christopher Parkinson from Mizuho Securities.
Christopher Parkinson: Great. Thank you, so much. If we could circle back very quickly to the ICS side, there's been a bit of a difference between how China handset sales have been trending of late versus the rest of the Western world in terms of how to think about that I'd love some comments on how to think about that into the second half of the year, as well as you do have a few customers with some potential new launches in the second half. So just in terms of the normalization process, it would be very helpful to get some commentary on how to think about that as it turns more into the second half, but probably more importantly, even based on kind of the renewed, I'd say, much lower bar than we've seen in the past, let's say, 1.5 years or so? Thank you.
Ed Breen: Yeah. Let me comment, and I'll turn it to Lori by just - I don't want to say customer names, but we're in good shape this year on the new models being introduced by a couple of the large cell phone players. So from a market share standpoint, we know which phones we're in, and we're in a better position than we were last year, not that we were in a bad position at all last year. But we feel like we're in a good position with the launch of the new models coming in. We know what we're in, in those phones. And by way, clearly, one of the things I think you all know we're in is the Kapton technology for the 5G antenna is a key component for us, along with some other components, but that's a key one. Lori, do you want to just talk about the timing?
Lori Koch: Yeah. On the smartphone and broadly, the consumer electronics recovery. That was part of the revision that we had in the second half. So our original expectations on a full year basis for smartphones would be down about 1% and PCs down about 7%. We revised expectations on each of those end markets along with the industry forecast for smartphone sound to be more in the 5% range in PC is supposed to be low double digit. So - but that does embed year-over-year growth in the fourth quarter. So it sounds like one more quarter of year-over-year down in the third quarter and then recovery that's worth into the more normal market and most likely setting up for a strong 2024, those markets are in maybe through the destock and returning to more of a normal demand in growth.
Christopher Parkinson: That's very helpful. And just as a very quick follow-up, just on the W&P side. You've seen some very, very solid growth out of Water Solutions, but you did have some comments as it pertains to the kind of the second half based on some fairly difficult comps to my understanding. Can you sit on kind of what's the outlook for this business? Just - is that just - is your commentary solely a function of just the difficult comps and you'd expect kind of a reacceleration in 2024? But if you could just hit on that kind of cadence and how we should be continuously thinking about that business in the long term? That would be very helpful. Thank you.
Ed Breen: Yes. I think the way to look at that, that business is consistent, it is choppy, some quarters. We have a big installation we're doing and all that. So it's not going to be every single quarter. But generally, that business grows kind of mid to high single digits pretty consistently. And this past quarter, we had even a better quarter the not on the growth rate. But again, it can be lumpy. But when you kind of smooth out the whole year, I think that's the way to look at it kind of in that 6% to 8% growth range when you smooth out the year. And look, I expect China activity will pick up. It's hard to tell if there's a little bit of excess inventory also that is part of it, but we're again expecting a couple of just lighter quarters. But I think quarters with growth in the third quarter, but just lighter than we had in the second quarter. And I think, again, it's a consistent business. And it has been since we've had it. So I don't expect it to continue to grow in that range.
Lori Koch: And to Ed's comment on the lumpiness, if you put a 2 year stack on the volume, we're up high single digits every quarter. So there is lumpiness of it comments around sometimes the projects work going on. But in general, it's really strong growth for us. And there's no change in our go-forward forecast, especially with the requirements that are going on around sustainability and the access to those are the key growth drivers for us.
Ed Breen: And then the key here is there's a replacement business that's 70% of the business. So that adds to the consistency of it.
Operator: Your next question comes from John Roberts from Credit Suisse.
John Roberts: Thank you. Ed, is it fair to say that Delrin will be a private equity transaction? It would seem to be hard for a strategic to do a closing by year-end at this point?
Ed Breen: Yes. We're pretty confident we'll close it by year-end. I would just say private equity has been interested along with strategic, but I don't want to get into any more than that at this point in time. But I think we're highly confident we'll have a deal. There's been nice interest in it.
John Roberts: And then secondly, there is been some challenges to the 3M PFAS settlement. Are you anticipating having to go through a similar process with your settlement?
Ed Breen: Yes. John, what happened here was very typical of these bigger type of settlements that have to these class actions. If you go back and look at any of the other big ones, you always get that, I think, what you're referring to is the challenge from state AGs and all that. I don't think by what we're hearing that there's going to be a problem here we're thinking in the very near future, we get preliminary approval from the judge, and as we said in our prepared remarks, it will be about six months after that preliminary approval from the judge where we would then be finished with that and make the payment.
Operator: Your next question comes from Steve Tusa from JPMorgan.
Steve Tusa: Hi, good morning.
Ed Breen: Good morning, Steve.
Steve Tusa: Can you just give us a bit of an update on the -- I know these businesses aren't the most raw material centric anymore, but maybe just a bit of an update on the raw material outlook for this year. I'm not sure if you called it out in the beginning of the call, the $100 million you were talking about before?
Lori Koch: Yeah. So that was a net headwind between price and raws. So we did increase that to about $140 million from our view of $100 million. So we have seen a step up and we expect to benefit from deflation. To remind you, it was around $800 million last year of a headwind that we saw and we've got obviously a fair bit of room to go to get all of that money back, but we're making really nice progress. Initially, a lot of the deflation is coming from the energy and logistics side. You can see what the natural gas prices have gone from the peaks that we bought in the third quarter of last year and the stabilization in the supply chain. We're seeing nice improvement in logistics. So the one piece that we're working through is just the timing of when that falls through the P&L. So we actually in the first quarter, predominantly, a little bit in the second quarter, we actually saw some headwinds from the carryover from the escalation 2022 from a P&L perspective. And as we head into the back half of the year, we'll start to see those benefits that we've been getting from a procurement perspective drop into the P&L.
Ed Breen: Yes, Steve, it kind of takes four to five months on the raws to work its way through in our system and we build a customer. So some of this, we're obviously going to see now in 2024 but the procurement team has been working very aggressively and Lori and I meet with a very consistent basis because it's a big part of seeing up on 2024 for us. And by the way, Steve, just as a side note, the margins on the E&I, remember, not much of the walls were in E&I, we only raised prices 2% there. The predominant part of it is going to become in W&P. And the thing that affected the margins in E&I is really the absorption charge that we've taken. We we're going to take it again in the third quarter, we're probably going to take it in the fourth quarter, just to make sure everything is teed up for 2024, and that's affected our - or like in the third - in the second quarter that affected our margins in E&I by about 400 basis points. So without the absorption, we know we're running that business north of 30, even in a reduced volume environment. So I feel very confident you all watched us run that in a 32%, 33% EBITDA range. I'm very comfortable when I look at our math that we're in good shape there as we rebound.
Steve Tusa: And is there any risk around anything you're seeing in pricing in W&P that when you look out to the second half or into next year, any aggression on pricing in those businesses?
Ed Breen: So very small. The one area we're going to give up some price that we forecasted in the second half of the year is in the construction-related markets. We also had to raise very significantly in those markets because of what the raws did last year. So, we've made an assumption in this forecast that we'll give up some of the pricing there. Otherwise, we're feeling pretty solid across the rest of the portfolio.
Steve Tusa: Okay. Great. Thanks a lot.
Ed Breen: Thanks, Steve.
Operator: The next question comes from David Begleiter from Deutsche Bank.
David Begleiter: Thank you. Ed and Lori, how much did Spectrum add to Q3 and 2023 guidance?
Lori Koch: Yeah. So in total, it will give you about a little north of $200 million in sales at a 22% margin. It's pretty consistent across the months, so you'll take two months of it in the third quarter and then the full three months in the fourth quarter. From an EPS perspective, it's really only about $0.01 on a full year basis once you factor in the loss of the interest income from the cash that we paid for the deal. There's more of an EBITDA function versus an EPS.
David Begleiter: Got it. And then, just on destocking in Shelter, where do you think we are? I know you said you were closely end here or it's moderating? How much further do you think we have to go Shelter Solutions destocking?
Ed Breen: I think it's mostly done destocking by the end of this third quarter. And that's talking to a couple of our key distributors and customers. One of the big box guys, by the way, was doing a rebalancing of all, their inventory by moving it around to different stores and regions. That's how we were doing it. And they're pretty much through that process. So I think the end of third quarter, we're kind of there.
David Begleiter: Thank you.
Ed Breen: Thanks.
Operator: Your next question comes from Mike Leithead from Barclays.
Mike Leithead: Great, thanks. Good morning, guys. First question, your Corporate and Retained business came in a bit better than historically has. Can you just help us unpack what happened this quarter there? And just how that should trend going forward?
Lori Koch: Yes. So we had a really strong growth within Corporate M&M. It was driven by the EV piece, which is the largest segment of it. And it's really from the EV growth in the overall Auto build growth. So Auto build were up about 16% in the second quarter, we would have posted a similar number. And we see really nice performance in the EV piece. So that's what drove the improvement year-over-year primarily.
Mike Leithead: Great. And then second, just on E&I, you talked about reducing production rates to help manage inventory. Do you expect that to still be some degree of drag in the second half to earnings? And then just relatedly, how should we expect working capital to finish out this year?
Ed Breen: Yes. No, we're definitely going to take the absorption this quarter. We're in the third quarter, about $40 million and the same in the fourth quarter as our plan. So we're really getting inventory aligned up very well with demand. So we just feel it's the prudent thing to do right now. So that's what's baked into the plan that we've given here today.
Lori Koch: Yeah, we saw a nice improvement in inventory in the second quarter, about $80 million of a reduction. We'll look to continue to drive that down as we get into the end of the year. We had an improvement sequentially in both cash generation and cash conversion. We'll look to continue to improve that as we get into the back half of the year. Our third quarter is typically our strongest quarter for cash generation, because we don't have an interest payment which we have in the second and the fourth quarter, which we pay our annual bonus in the first quarter. So the third quarter is the clean end from that perspective. And just the notes, that I had mentioned on the script just to make sure that you caught it, we will move to a continuing ops basis presentation in cash flow. So we'll take out all the noise from the discontinued ops components, which are primarily in this year, the funding of the escrow account, which will take place at some point in the second half and then the funding of the other end-of-use items. So, we will pull that out and just kind of, focus on continuing makes fast generation.
Mike Leithead: Great. Thank you.
Operator: Your next question comes from Josh Spector from UBS.
Josh Spector: Yeah, hi. Thanks for taking my questions. I guess, first, I wanted to ask on the 3Q guidance. So if we look at organic sales and EBITDA, you're kind of guiding flat sequentially but you're talking about ICS up mid-single digits. It sounds like raw materials could be a little bit better with health. Typically with ICS up, you get a mix benefit there. So what drives that flat EBITDA? What are some of the offsetting items that would keep EBITDA flat versus having it up sequentially on an organic basis?
Lori Koch: Yeah. So the three biggest items that we had mentioned, first being the water deceleration. So we see some moderation in water as we get into the back half of the year, coming off of a really strong quarter in the second quarter. We had also mentioned that we expect to have to get back some price primarily in the Shelter business within water. And then the third, probably smallest piece but something we're raising was we do see some small destocking within biopharma. So it's been pretty well telegraphed across some of the other players, and we are starting to see that a little bit within our video business and the Industrial Solution business in Shanghai.
Josh Spector: Okay. That's helpful. And I guess when I think about ICS, a look into 2024, so I haven't done the full math, but maybe organic, you're down something like 10% this year. I guess when we look at smartphone growth, PC growth, there's not a massive inflection next year. There's better growth forecasted, maybe low-single-digits. I guess, how do you think about that ICS business performing relative to that? Do we overbuild some inventory so we don't get the full bounce back? Or do you expect it stronger? If you could frame that, that would be helpful. Thanks.
Lori Koch: Yeah. I mean it's kind of hard to say at this point how the restocking potentially could happen in those two spaces. We would expect it to perform nicely alongside the market. The one tailwind that will happen for us in a year-over-year perspective on EBITDA, we won't have those absorption headwinds that we had in 2022. So the predominance of those absorption happens for reasons within both ICS and semis those create a tailwind for us as we head into 2023.
Josh Spector: Okay. Thank you.
Operator: Your next question comes from Vincent Andrews from Morgan Stanley.
Vincent Andrews: Thank you and good morning, Wondering if you can speak just a little bit about the cost work you've been doing kind of past president in the future? Just looking at the income statement, I've got SG&A down about $76 million year-to-date, R&D down 32, and then sundry expense down 40. And maybe you can kind of contextualize those decreases and how they play out over the balance of the year and which segments, presumably we're seeing the most and the ones that are having the most macro concerns? And maybe just also remind us what sundry expense actually is?
Lori Koch: Yeah. So the predominance of sundry is really not even in operating EBITDA it's where our interest income comes in. It's also where some gains on asset sales that don't get reported in operating EBITDA or adjusted EPS come in. So it's not really primarily related to our operating investment. There's detail in the queue when that comes out tomorrow about what all of the other specifics are. But that's not really a reflection at all of any of our efforts to control discretionary spend. From that perspective, though, we have been very aggressive on control and the discretionary spend to minimize the decrementals that we've been policing. And I think we've done a nice job doing that. So in the first half, our decrementals as reported were 40%. But if you take out the headwinds from the absorption that we've been driving to reduce inventory were more down in the mid-20s. And so that's really a reflection of the aggressive actions we've taken from both. We did a small restructuring to be able to reduce some headcount primarily in the G&A space. So we're really trying to keep R&D and marketing and sales pretty clean. And then we have been taking some reductions to our annual discretionary consultations or bonus. And so that's what you're seeing more so coming in through the R&D line that would be a use of that. And then on the SG&A line would be the small license that we took to reduce headcount as well as the discretionary spend.
Ed Breen: Yeah. By the way, we're are - we've been tensioning real good is our travel and entertainment budgets. We're trying to keep them. The salespeople are traveling the application engineers, but we're really being sure of holding people, holding management meetings all over the world and all that. So we're just being -- we've really put the word out to our team, hey, while we're in a tougher environment here will come out of it nice, but just watch anything on the discretionary side.
Vincent Andrews: Okay. And then just as a follow-up, Ed, nothing happening presumably on the bolt-on M&A side of the table for the rest of the year or any thoughts there?
Ed Breen: No. No, I don't think you'll see anything obviously, the rest of this year and at least well into next year. I think, I said on the last call, a good year pause. We love where we've got the balance sheet at, as I think Lori mentioned on the call I did -- we're going to have leverage action in here somewhere around 2x. That's where we want to be. And we're in a great spot. And I don't feel like we need to do anything. So we are -- we got to where we need to be.
Vincent Andrews: Great. Excellent. Thanks very much.
Ed Breen: Thanks.
Operator: Your next question comes from Frank Mitsch from Fermium Research.
Frank Mitsch: Hey. Good morning. Ed, I had the RiverHouse Benedict that Odette's on Sunday. It was very nice. So, congrats on that.
Ed Breen: Thank you. I haven't had it yet.
Frank Mitsch: You haven't had it yet, I highly recommend it. Hey, following up on the M&A question, Auto Adhesives is still in your corporate line item. When might we expect that to be folded back into the -- into one of the businesses? And/or is that a candidate for divestiture?
Ed Breen: No, it's not a candidate for divestiture. It's very core to us. We like the position we have, especially with the EV opportunity we have. And we're obviously seeing a lot of wins there, and the growth rate has been phenomenal. So we like that business. And by the way, we - I don't think we're going to make any new short-term on pulling it out of there of where we're reporting it at this point in time. We just -- we've got everything run in the way we want. So you won't see anything in the next couple of quarters.
Frank Mitsch: Okay. Thank you. And then, if I look geographically, I mean Europe has been up year-over-year based on price. What are your thoughts in terms of volume growth in that region?
Lori Koch: Yeah. So volume growth in general in Europe is about flat. I would expect a similar performance as we get into the half of the year. And it's really different and it's been the toughest for us has been Asia Pacific, which we've been highlighting this obvious dominance of it is China The price piece though it will start to wane as we get into the back half of the year. So we saw it kind of cut in half, as we went from Q1 to Q2, and then as we get into - Q3 and Q4 we really - it would be flat to slightly negative, given some of the price that we would have to give back primarily in the Shelter space that we have mentioned.
Frank Mitsch: Great. Thank you.
Ed Breen: Thanks, Frank.
Operator: Your next question comes from Steve Byrne from Bank of America.
Steve Byrne: Yeah. Thank you. The EPA has estimated several thousand water districts that would need to comply with the proposed MCLs. My question for you is Ed you mentioned you think you could get final approval on the settlement in six months or so. Do you need a certain fraction of those water districts to opt in? And can you comment on how that is going? And do you have a view on how they will comply. Do you expect they will mostly use carbon? Or do you think some of them might employee RO or iron exchange your technologies?
Ed Breen: Yeah. So look, we -- there's a percent that have, I'll call it, opt in or we can walk away from the settlement. So by the way, that's a very high percentage, and we think just to get up that, that will not be a problem. Remember, a lot of these water districts have been being talked to by the plaintiff side of this. This hasn't been done in a vacuum. So, it's - they've been talked to along the way here to get to this, what I'll call it preliminary settlement. So I think shortly, as I said, we will get it approved by the judge on a preliminary basis and then you work all the opt-ins to make sure you get that done and then you have final approval once you hit that threshold. So it's really up to each of the difficulty for water districts, how they're going to handle that to clean up any PFAS that's in there. So I don't want to comment on that.
Steve Byrne: And then you mentioned that 70% of your water business is renewables. I was just curious, what fraction of that are you selling directly to the customer versus going through an intermediary service provider? And do you have an interest in changing that fraction by getting more aggressive in your own sales force?
Lori Koch: I don't see any change in our go-to-market strategy for the province of its direct as we go to the customers the projects in place and we're just replacing the filter, which is where the recurring revenue rate comes from. So this is a -- as we had mentioned earlier on the call, kind of mid to high single-digit grower for us, a lot of opportunities as we go forward around the sustainability and the access to clean water.
Steve Byrne: Thank you.
Ed Breen: Thanks, Steve.
Operator: Your next question comes from Arun Viswanathan from RBC Capital Markets.
Arun Viswanathan: Great. Thanks for taking my question. I just wanted to ask about the electronics market here. Could you just elaborate on the destocking, the volume trajectory, I guess, from here. I think previously, you had expected this year to be the main volume negative hit. You'll be facing easier comps next year. Do you think you should grow in kind of, say, the mid-single-digit level for next year? Or where do you expect electronics volumes to be next year? Thanks.
Lori Koch: Yeah. So we as we had mentioned, we believe within ICS that we'll continue to see sequential improvement as we head into Q3. And then I mean a little bit of tentative improvement as we head into Q4. In the semi, we don't see a material bump in sequential sales until we get into the fourth quarter. But definitely, the year-over-year volume headwind. We'll start to ease and we see full year overall E&I organic growth of about 10%. And that's primarily a volume reflecting within that segment. So it's probably a little early to call what 2024 looks like. I think there's a pretty good sense that it would be positive just given that you won't have the destock going on, but even if the demand is flat, which would be hard to see. You don't have that headwind from the destock year-over-year. So we're really encouraged as we head into 2024 from the tailwind that we'll see from out only market recovery and electronics but also the lapping of the absorption headwinds that we've taken this year to control investor. And then, the further benefit from deflation as it fully run through our P&L, are kind of the key components that register.
Arun Viswanathan: Great. Thanks. And just real quickly on the share buyback plans. So you'll be completing the 3.25 very soon. Could you just describe how we should think about the other $2 billion, that you commenced shortly thereafter. Would that be done ratably or how should we think about that? How it flows in? Thanks.
Lori Koch: Yeah. So it will be a similar structure to the first 3.25. I guess we'll complete that within a month, and then shortly thereafter, we'll execute a $2 billion ASR. So you'll get 80% of the shares upfront, and then you'll get the 20% cleanup in the back, and it probably will take us about six months to complete that full program. It's usually about a quarter for every $1 billion of shares that you're taking now.
Arun Viswanathan: Thanks.
Operator: Your next question comes from Mike Sison from Wells Fargo.
Mike Sison: Hey. Good morning. In terms of Semi Technologies and Interconnect Solutions, I think historically after a destocking event, you do see some restocking. But given it's taking so long for the destocking to end, how do you think that plays out this time around or is there any differences between the regions on that?
Lori Koch: Yeah. I mean, it's hard to say what everyone is going to do with respect to the restock after coming through such a significant destocking. So we might change their normal pattern just to get every year likewise. So probably a little too early to say what's going to happen from a restocking perspective. I'll think you probably announce year and everyone [Technical Difficulty] stabilization that's happening in the supply chain generally, everybody in that.
Mike Sison: Got it. And then just quick follow-up E&I historically been above 30% for EBITDA margins and sort of get back there? Is it just simply getting all the volume back?
Ed Breen: Yes. It's really two things. getting the volume back, but remember a point I think I made earlier when Steve was on, the EBITDA margins ex the absorption in the second quarter were already over 30%. So the absorption is what pulling down the charge we took there to expanded to 26.6-ish number. So we know we can -- even in a softer volume environment, we're running it a little north of 30%. And as you said and I said earlier, we run this business 32%, 33% EBITDA margins. And we'll get price throughput, as the volumes continue to come back.
Mike Sison: Got it. Thank you.
Ed Breen: Thanks.
Operator: Your final question comes from Patrick Cunningham from Citibank.
Patrick Cunningham: Hi. Good morning. Is there any update to your expectations for $20 million in synergy capture from Spectrum? And what should we expect for the cadence there?
Lori Koch: Yeah, no update to that. We still expect $20 million. It probably will take the better part of 12 to 18 months to get $20 million out. I mean, obviously, for us, it is more of a revenue synergy opportunity as we bring the two portfolios together in verge our expertise biopharma with their expertise in medical device comes from a revenue synergy perspective.
Patrick Cunningham: Got it. That's helpful. And how do you expect the healthcare business to trend throughout the year, both on the Legacy and the Spectrum side? There's been some commentary pointing to pockets of destocking as companies deplete safety stocks. Have you seen any of that from any of your businesses?
Ed Breen: Yeah. So our Liveo business were -- I think Lori mentioned this a little while ago in the biopharma side. We're seeing some destocking there. And I think I heard, I think, six other companies I heard in the last week would make the results that they were seeing some destocking in biopharma. In my gut is that last a couple of quarters. Just to correct that a little bit. And it was another one of those markets just like semi. I remember I was getting calls from CEOs in the healthcare business, but we need more. And I think just like semi everyone overshot, there's a little bit of a correction going on there, but I'd say that's probably the third and fourth quarter a little correction there. As Lori mentioned earlier, the spectrum numbers are kind of right on where we thought they would be. So they look like they're keyed up for the year, we thought they were going to happen in the second half of the year here. And I would expect, again, that the growth in our healthcare businesses will be above company average and certainly above GDP.
Patrick Cunningham: Great. Thank you.
Ed Breen: Thank you.
Operator: I now turn the call over to Chris Mecray for concluding remarks.
Chris Mecray: Okay. Thanks, everybody, for joining our call. Just to be a reference, a copy of the transcript will be posted on our website once available. This concludes our call. Thank you.